Operator: Good day, ladies and gentlemen, and welcome to The Cheesecake Factory First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Matt Clark. Sir, you may begin.
Matthew Eliot Clark - Senior Vice President-Finance & Strategy: Thank you, operator and good afternoon everyone. Welcome to our first quarter fiscal 2016 earnings call. I'm Matt Clark, Senior Vice President of Finance and Strategy. On the call today are David Gordon, our President; and Doug Benn, our Executive Vice President and Chief Financial Officer. David Overton, our Chairman and Chief Executive Officer, is currently traveling out of the country and will be not on the call today. Before we begin, let me quickly remind you that during this call, items will be discussed that are not based on historical fact and are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results could be materially different from those stated or implied in forward-looking statements, as a result of the factors detailed in today's press release, which is available on our website at investors.thecheesecakefactory.com and in our filings with the Securities and Exchange Commission. All forward-looking statements made on this call speak only as of today's date and the company undertakes no duty to update any forward-looking statements. On today's call, David Gordon will begin with some opening remarks. Doug will then take you through our operating results in detail and provide our outlook for both the second quarter of 2016, as well as our thoughts on the full fiscal year. Following that, we'll open the call to questions. And with that, I'll turn the call over to David Gordon.
David M. Gordon - President: Thank you, Matt. In the first quarter of 2016, we again delivered consistent and dependable results with comparable sales remaining above the casual dining industry as a whole, and earnings per share greater than both our guidance and consensus expectations. We were also named the FORTUNE's 100 Best Companies to Work For list for the third consecutive year. Overall for the quarter, we are quite pleased that we delivered on all of our objectives and have set ourselves up for a solid year financially. We have now completed 25 consecutive quarters of positive comparable sales at The Cheesecake Factory is as strong and relevant as ever. Just recently, we were once again recognized as the number one casual dining brand in Nation's Restaurant News Consumer Picks survey, and prior to that The Cheesecake Factory was recognized as the number one casual dining brand for millennials in a survey conducted by Technomic. The differentiated menu, operational excellence and one of a kind ambiance that have been the hallmarks of The Cheesecake Factory for nearly four decades, are clearly still resonating with our guest today. Nonetheless, our efforts to continue driving the higher sales and traffic volumes in the industry are ongoing. In the second quarter, we are poised to more broadly roll out several guest-facing initiatives such as an enhanced server training program, our mobile payment app, CakePay and an increased focus on home and office delivery through the initiation of a pilot program of partnerships with third-party providers in select locations. And of course, we also continued to innovate with our menu, adding both new Super Food items this past winter, as well as indulgences that The Cheesecake Factory is famous for. Complementing our sales growth this quarter was an effective management of expenses throughout the income statement. Our highly tenured teams managed the business well by leveraging the sales increase, hitting our projected labor productivity and flowing through the benefit from benign commodity costs. Combined with diligent G&A management, we were able to deliver overall operating margins above prior year and guidance. On the development front for 2016, we still expect to open as many as eight company-owned restaurants, including one Grand Lux Cafe. In February, we completed our first opening of the year in Albuquerque, New Mexico, a new market for us. We were quite happy with the response by guests in Albuquerque, as we opened with a line down the block the entire first week and have continued to see strong sales trends in this new location. This type of performance gives us confidence with respect to our growth runway as we continue to open in existing and new markets and work towards our target of 300 domestic Cheesecake Factory locations. And we believe that the quality sites we have for 2016 will meet our long-term objective to open restaurants in premier locations that can achieve our targeted returns. Internationally, we also continue to expect as many as four to five restaurants to open this year under licensing agreements, based on the information that we currently have. For the first time, each of our three licensees has at least one opening planned in the current fiscal year, including the first Cheesecake Factory restaurant in China, at Disneytown within the Shanghai Disneyland Resort, which is expected to open later this quarter. We remain confident that we're well positioned for 2016 and beyond. Our brand is strong and we're effectively executing on both our domestic and global growth plans to drive our targeted returns and grow shareholder value. With that, I will now turn the call over Doug for our financial review.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Thank you, David. Our revenues at The Cheesecake Factory for the first quarter of 2016 were $553.7 million. Revenues reflect the comparable sales increase of 1.7% at The Cheesecake Factory restaurants. External bakery sales were $11.3 million in the first quarter. Cost of sales decreased approximately 80 basis points year-over-year in the first quarter of 2016 to 23.6% of revenues. This was generally consistent with our expectations in light of the low inflationary commodity environment. Key ingredients driving the favorability were seafood and poultry. Labor was 33.5% of revenues, an increase of about 50 basis points as compared to the first quarter of last year. This reflects the higher wage rates that we have talked about previously, as labor productivity was in line with our operating targets. Other operating costs were 23.4% of revenues, down 40 basis points from the prior year, primarily driven by benefits from lower utility costs than expected and some favorability in insurance expense. G&A was 6.4% of revenue in the first quarter of fiscal 2016, flat to the same quarter of the prior year, as expected. Preopening expense was $2.3 million in the first quarter of 2016 versus $1.5 million in the same period last year. We had one new restaurant opening in 2016 compared with no first quarter restaurant openings last year. So overall, our margins were quite solid in the first quarter, with about 80 basis points of expansion and essentially every line coming within our expectations or slightly better. Our tax rate this quarter was approximately 27%, also slightly better than our expected range. Cash flow from operations was approximately $76 million. Net of roughly $22 million of cash used for capital expenditures, we generated about $54 million in free cash flow for the quarter. That wraps up our business and financial review for the first quarter of 2016. It was a strong quarter and represents a good financial start to the year for us. Now I'll spend a few minutes on our outlook for the second quarter and full-year 2016. As we have done in the past, we continue to provide our best estimate for earnings per share ranges based on realistic comparable sales assumptions and the most current input cost information we have at this time. These assumptions factor in everything we know as of today, which includes quarter-to-date trends, what we think will happen in the weeks ahead and the effect of any impacts associated with holidays or weather. For the second quarter of 2016, we are estimating diluted earnings per share between $0.69 and $0.72, based on an assumed range of comparable sales of between flat and up 1% at The Cheesecake Factory restaurants. This takes into consideration the shifts associated with spring break, as well as the sales levels we are lapping from 2015. Overall, this will put the first half of the year comparable sales at about positive 1.1% at the midpoint of the range, compared to 3.5% in the prior year, or together about 4.6% on a two-year stack basis. With respect to the full year of 2016, we are estimating comparable sales to be in a range of approximately 1% to 2%. This assumes that the third and fourth quarter combined would be in a range of 1.5% to 2.5% as compared with 1.6% in 2015. The full-year diluted earnings per share sensitivity associated with this comparable sales range is now $2.61 to $2.70, up from our prior guidance by $0.03 to $0.04 at the midpoint. This earnings range reflects our actual results for the first quarter, our sales expectations for the second quarter and the impact from expected shift in the timing of some expenses. Note that fiscal 2016 is a 53-week year for us and our estimates include the impact from the additional week. On the cost side, we continue to expect food cost inflation to be about flat in 2016. Some areas such as produce and dairy are expected to be somewhat higher for the full year, whereas we currently expect our lower seafood and poultry costs to continue. And we're still planning for wage inflation of approximately 5% in 2016, a blend of both governmentally-regulated and generally-higher wage environment. For the first quarter, we came in essentially on our projections in this area. Overall, we're expecting our operating margins to expand slightly for the full year. Regarding our corporate tax rate, we now expect it to be about 27% to 28% for 2016. Total capital expenditures this year are expected to be between $100 million and $110 million for as many as eight planned 2016 domestic openings, as well as potential openings in early 2017. We anticipate returning substantially all of our free cash flow to shareholders in the form of dividends and share repurchases. In summary, our business trends have been solid and our consistent guidance across many key factors is representative of this. As a result, we've been able to increase our expectation for earnings per share for 2016 and are maintaining a significant focus aimed at growing the top line. With that said, we'll take your questions. In order to accommodate as many questions as possible, please limit yourself to one question and then re-queue with any additional questions.
Operator: Thank you. And our first question comes from the line of John Glass from Morgan Stanley. Your line is now open.
John Glass - Morgan Stanley & Co. LLC: Thanks very much. Doug, is there anything that happened from a margin perspective is the first quarter that you don't expect to repeat, you know, any favorability? I ask that in the context of understanding comp expectations are a little lower in the second quarter, but you are going from a pretty robust earnings growth of, what, over 20% in this quarter, essentially flat next quarter. So is that just the deceleration in comp, or is there something else that doesn't repeat? And can you put a little more color on your comp guidance? Is that more reflecting of what you are actually seeing versus what you expect to see? It's a pretty big deceleration on a two-year basis.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Right. Okay so, I would say in response to your first question that if you sort of reconcile our guidance that we gave for the first quarter, basically part of the first quarter beat was based on utilities and insurance, and that was about $0.04 and we don't really expect that part of it to continue into the second quarter. So that's part of the second quarter, but the second quarter lower earnings guidance is about half of the difference that you might see between the earnings guidance we're giving and what consensus might be is probably the lower sales guidance we're giving and part of it is overlapping a very low group medical expense from last year. So, when we forecast our group medical expense, we're forecasting it to be the same percentage as the entire year last year, but on a quarter-to-quarter basis, there could be some quarters that – well, for instance, in the first quarter we budgeted or forecasted higher than what we actually ran, in the second quarter we feel like we're going to actually be higher than last year because it was so low last year. With respect to the second quarter there are a number of drivers, I would say, with the way that we looked at our sales expectations, really the negative effect from the spring break shift that shifted from the second quarter into the first quarter impacted the second quarter comp store sales. We've also included the impact of weather that we know has already happened in the second quarter, severe flooding at Texas for instance, late winter storms in Colorado, and we're also continuing to take into account the fact that we're lapping some really tough comparisons, sales were up 2.8% in the second quarter last year. So that's tough and it's really a – currently a choppy comp store sales environment, we'll say that, it's hard to get a real run rate on what comp store sales are and I believe the industry is experiencing some choppiness and softness over the past few weeks and we'll just have to see how that play out over the next few weeks, but based on all that, we felt that 0% to 1% comp guidance was appropriate for the second quarter.
John Glass - Morgan Stanley & Co. LLC: Got you. Thank you very much.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: You're welcome.
Operator: And our next question comes from the line Jeffrey Bernstein from Barclays. Your line is now open.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you very much. Two questions as well, one maybe just a follow-up on that – you know, that's prospective looking. I'm just wondering if you can give some thoughts as to the first quarter, so we can kind of see show you exited. Maybe if you can provide some sequential color on the quarter and the components that you often provide in terms of the makeup of the comp, and whether there was any regional disparity. I know you talked about last quarter Texas holding up well, but maybe the Northeast and some other markets, a little softer, so just some qualitative color on the first quarter trends. And then I had one follow-up.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Okay. Sure, comps for the quarter as we said were 1.7% for The Cheesecake Factory. That's composed of 2.7% in menu pricing, 1.5% decline in traffic and 1.5% decline in menu mix. From the standpoint of the way sales really fell in the quarter we had – December 30 is a very busy day for us and it moved out of 2015 into 2016 and that benefited first quarter comp store sales and certainly we had some Easter and spring break calendar shifts that shifted from the second quarter in the first quarter, that also benefited first quarter comp-store sales and combined the impact of those two things is somewhere between 70 basis points and 75 basis points. So those are two things that impacted the first quarter. And then geographically, we continue to have a fairly consistent performance across geographies, still relatively narrow gap. Interestingly our strongest markets were the Northeast, the Mid-West and the Northwest. Northeast was strong though because we were lapping some bad weather there, at least that contributed to the Northeast being strong. California felt a little bit of pressure in the fourth quarter with the impact from weather and following a very strong first quarter of 2015. Florida was off a bit as well, but still positive; again, relatively a narrow gap and fairly consistent performance across geographies.
Jeffrey Bernstein - Barclays Capital, Inc.: Understood. And then just the mall traffic, it seems like people are still talking about a decelerating trend. I didn't know whether you had recognized at this point that maybe you are seeing some of that in the high-end malls, or whether you really seem to be bucking the trend, targeting that higher income consumer in the higher end malls?
Matthew Eliot Clark - Senior Vice President-Finance & Strategy: I don't think – Jeff, this is Matt. I don't think we've seen a difference. It's sort of what Doug has said and I think kind of what we've been saying now for a while, but it's continuing to be true is that the performance of the mall and non-mall or different levels of mall across our geographies has been relatively in a tight band. So, what does that mean for the higher-end malls, I mean our traffic is relatively consistent across that.
Jeffrey Bernstein - Barclays Capital, Inc.: Understood. Thank you.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: You're welcome.
Operator: And our next question comes from the line of Nicole Miller from Piper Jaffray. Your line is now open.
Nicole M. Miller Regan - Piper Jaffray & Co. (Broker): Thank you. The last time, I think – maybe even the last couple of quarters that you've spoken with us, you were looking aggressively at other sales channel opportunities, international and CPG. Would you please give us an update on both those fronts?
David M. Gordon - President: With CPG, I think as we always have, we know that the cakes are obviously today in retail and an opportunity for us and we know there is still a strong affinity for the brand and we have some work we've done so far that's interesting to us, that may lead to some thing in the future. That's about as much as I think we can say at this point, but we're excited about it and let's see where it takes us on the CPG front.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: And if you're talking about international expansion, this will be a big year for us for international expansion, building four to five or having our licensee partners build four to five new restaurants, having all three of our licensee partners, as David mentioned in his remarks, now opening restaurants, ought to add a lot of consistency to that. So while this is a big year for opening restaurants internationally, certainly something like a 40% some increase in new international restaurants. We would expect for us to be able to open between three and five international restaurants as we look into the future because we now have three partners that are opening restaurants for us. And as far as expanding those relationships, we are talking to potential other international partners, but the real, probably the next thing you would see us do as far as expanding international would be to expand our relationships with our existing partners, for instance in the Middle East, Alshaya operates in, I think, 19 different countries, and we're only – our agreement with them is only to develop restaurants in I think seven different countries. So there is a big opportunity even with our existing licensees to expand the relationship.
Nicole M. Miller Regan - Piper Jaffray & Co. (Broker): Thank you. Appreciate it.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: You're welcome.
Operator: And we have a question from the line of Joe Buckley from Bank of America. Your line is now open.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Thank you. Doug, just coming back to the same-store sales breakdown, the mix seems slightly negative. Can you talk about that and what drove that?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Well, you know, we've been talking about mix for quite a while and our mix has been positive for some time now, for two straight years, and we're lapping a very strong mix from the first quarter last year, we were up 1.3% in mix the first quarter of last year. And I think we've said before, people move around the menu, they are trying different things and that changes the mix. We believe the mix will ebb and flow over time and revert back to neutral or to the norm as time goes by. So, dessert sales continue to be very strong. In fact, they went up as a percentage of sales this quarter compared to the same quarter last year, almost 17% in dessert sales, so that's not what it is. But now (21:54) and alcoholic beverage sales are still pressuring us, so that could be some of it.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. And then you gave us a pricing factor. Can you talk about what you did on the regional pricing, how extensive that was? And did you get the expected benefit from it?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Well, we have – we talked about pricing and being a little more aggressive on pricing in light of the significant wage rate inflation, the environment that we're in. And so currently today, we have 2.9% of price in the menu, which is a little higher than what our historical norm has been, which is right around 2%, but we've been anywhere from 1% to 3%. And we have had different pricing in like Hawaii and San Francisco for quite a while, and as the regional wage pressures became more regionalized, we decided to start slowly differentiating some more of our pricing. So we've done that. For competitive reasons we're not going to disclose the specifics of what we have done, but you can assume that more menu pricing was taken where the government mandated changes were made.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. And did you see any customer reaction to the pricing? Did it go smoothly from a customer standpoint?
David M. Gordon - President: It has gone smoothly. I was just in some of the restaurants in those markets recently and anecdotally have been asking some folks, and really it's been accepted pretty widely.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. Very good. Thank you.
Operator: And your next question comes from the line of David Tarantino from Baird. Your line is now open.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Hi, good afternoon. First, Doug, a clarification question on what the impact of Easter was or is in the second quarter. I think you mentioned it would be a drag. And then maybe my bigger-picture question is just related to the overall environment; it does seem like it's slowed down here for casual dining. And I think you used the word choppy. So, I was wondering if you had some perspective on why you think the trends have been choppy recently, including for your business, since The Cheesecake has been a consistent outperformer, and any thoughts you could offer there would be helpful.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Okay. I don't know how wise I'm going to be to answer the second part of that question. Certainly the Easter impact is about 0.35%, something like that, between 0.3% and 0.4% is about how much that's impacting the second quarter. And when I talk about a choppy environment it's just – with weather and things that are happening in the second quarter and the Easter shift, and so we've only had four weeks so far, it's kind of difficult to tell what our run rate on comp store sales really are, and I don't – do you have any wisdom there, Matt, on what...
Matthew Eliot Clark - Senior Vice President-Finance & Strategy: David, you know, one of the things we talked about is, if you look at the past, call it five or six years post-recession, the environment has been relatively, directionally positive, but it hasn't been without its ebbs and flows. And we go back and look at historical performances as one measure and we've seen, at least in our business, times like this before, it was a little bit in 2011 and then a little bit in 2013, where we've dipped down to about 1% and then we bounced back up to 2%. We're more focused on the full year. So, yes, it feels a little bit softer, but I don't think again it's outside of what you might see in some years, in some patches. And it could be the weather, it could be the politics, I don't know that we have a specific. I don't think it's that big of a difference that we would consider it to be something unusual from a historical perspective.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: And I think that it's too early to say that any choppiness we're seeing is a trend.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Great, that's helpful. And then maybe just as a follow-up to that, I think you mentioned a couple things that are coming here in the short run, with the server training, if you could elaborate on what that is. And then CakePay, do you think that those could be needle-movers in terms of the comps here in the next couple of quarters or you think it will be more of a longer-term driver?
David M. Gordon - President: Thanks, David. I think that the server training, it's actually rolled out now nationwide, and as new servers are coming on board, the new training is being implemented in each one of those locations. The training is a little bit more focused on today's needs of today's guest, whether that's millennial generation or the broad guest space that we have, more focused on tailoring the service and hospitality towards those specific guests, where We were able to increase the service hospitality of the focus by probably 30% of the training versus menu knowledge, which is what a lot of the focus was previously and through the use of technology, we were still able to continue the menu knowledge but enhance the focus on service and hospitality. So, do we believe that over time that's going to improve service and hospitality in the restaurants? We do a pretty good job today but there is – we're always working to get better. We do believe that it will get better and in turn that we would see service scores start to rise and there are correlation between the service scores and sales moving forward, we certainly have seen that in the past and we would hope that, that would be the case in the long term. As far as CakePay, CakePay will be rolled out here nationally by Friday of this week. So, every restaurant will have the mobile app available. That will be more of a long-term, I think that as people look to adopt mobile payment and it becomes more of the norm, then we would expect to see it become more the norm at Cheesecake Factory. I can tell you that in just some of the recent restaurants where it has been rolled out over the past week, we've seen some nice adoption and the guests certainly have enjoyed it, the experience is exactly what we've been working towards. It's been flawless and as far as execution goes and from a servers' perspective, they see a little bit of the time saved on their end and that convenience for the guests to be able to leave whenever they desire, it was our original intent. Certainly so far has panned out. But the adoption will take a while I think like you would see in any mobile payment environment.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Great. Thank you. That's helpful.
Operator: And our next question comes from the line of Matthew DiFrisco from Guggenheim SEC. Your line is now open.
Matthew DiFrisco - Guggenheim Securities LLC: Thank you. So, I guess, Doug, you mentioned a little bit about the labor and how – 5% or so wage inflation, as you planned. But the operating week growth or the per-week – the gain on a labor per-week basis only went up a little under 3%, maybe a little over 2%. So obviously there's some labor efficiencies you're doing in there as well to potentially offset, I guess, some of that wage pressure. How does that look or what's the cadence of that as the year goes on? Is that something that sort of mark of maybe outpacing sales or same-store sales by 100 basis points, 150 basis points? Is that sort of the deleverage that we should expect going throughout the year? Or is labor efficiency going to be lapped at some time through 2016, where you're not going to be able to offset as much as that 5% as you just did in 1Q?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: I think our operators did a great job with running our labor in the first quarter. We had the wage rate inflation that we expected to have, but we managed our business very well such that labor productivity was right on plan or a little bit better, so that helped. We continue to be in an environment where the exactly what we thought would happen with respect to labor this year that the labor increases are being offset by the lower in the more benign commodity cost environment that we're in. And that's what we would expect to have continue for the rest of this year, that we'll continue to run our business well and we'll be able to manage the higher wage rates that we're seeing. We would certainly expect labor as a percentage of sales at the end of the year to be higher and I don't know 50 basis points is roughly what I think we were looking at for the whole year. So maybe this is – I think we think that the first quarter was sort of indicative of what it's going to be, but we would expect with that said that operating margins for the year would grow as well and may be not as much as they did in the first quarter, which was pretty substantial, but we expect them to grow as well because of this cost of sales offset if nothing else.
Matthew DiFrisco - Guggenheim Securities LLC: Got it. So I guess the read-through is also, even though you're looking at a little bit lower comp outlook in the immediate – in the current quarter, the cost management on the labor side is still in place and could help to offset what otherwise would maybe be more meaningful margin degradation, where you have a 5% wage pressure but flat to 1% comps.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: I think we're probably going to have more labor pressure at flat to 1% than we would have it at 1% to 2%, but we will – I think what you said is generally true.
Matthew DiFrisco - Guggenheim Securities LLC: Okay. And then also, I guess, can you talk a little bit about what you are seeing regionally in demand, as far as – not necessarily specific to your brand, but in your trends, in the data you see for the industry? The regions that have taken more price, I know you're saying you're taking selective price where the structural minimum wage has gone up, and you are seeing greater structural wage pressure. What are you seeing as far as the consumer as you look out across the base of 200 restaurants in markets like California, where there has been a minimum wage increase, and a lot of peers have taken price versus markets maybe like the Southeast, where there hasn't been the minimum wage pressure and concurrent menu price increases?
David M. Gordon - President: So we will track it regionally the best we can against some of the industry norms out there. Our gap to the industry was pretty good in Q1 and it was representative for the most part across the geographies, and so whether in those markets that we took a little bit more pricing or not, we didn't see statistically a significant difference in our gap to the industry. So I think we view that as a positive.
Matthew DiFrisco - Guggenheim Securities LLC: Thanks great. Thank you.
Operator: And our next question comes from the line of Will Slabaugh from Stephens, Inc. Your line is now open.
Will Slabaugh - Stephens, Inc.: Yeah, thanks guys. I wanted to ask about sales again, if I could. During the quarter you clearly held up better than most of your peers. But I'm curious if you saw generally what the industry data was showing in terms of – you did mention a fairly strong start to the year, and then that slowed quite a bit into sort of the end of February; and then into March even more meaningfully; and then in April as well. So just curious if you would touch on any color you might have in terms of what you think is going on there, and how that may relate to what you have historically seen within the business.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Well, if you look kind of month-by- month, sales trends in every month of the quarter were positive, but there are a lot of factors that are impacting that. January was positively impacted by the end of the year calendar shift. February was negatively impacted by the Super Bowl shifting into February from January and then March was positively impacted by the spring break shifts, but all months were positive and then we have also the very strong 4.2% comparison with the prior quarter, and I forgot, I guess I got it right here how it fell out month-by-month. But I would say that each month was positive and that maybe March was a little bit weaker than the others, if you take out some of that?
David M. Gordon - President: Yes, I think that's right. We have a national footprint at this point in time and I think we're much more resilient than as you pointed out, Will, than many in the industry, but if you were to bend the curves up and down month-to-month, the directions would be similar to what the bigger picture is that you're seeing.
Will Slabaugh - Stephens, Inc.: Good deal. Thanks, guys.
Operator: And our next question comes from the line of Karen Holthouse from Goldman Sachs. Your line is now open.
Karen Holthouse - Goldman Sachs & Co.: Hi, thanks for taking the question. I'm curious, and I don't know if there's a way to generalize it; if you look at all of your sales or all of your transactions, what percentage of those occur not necessarily on peak, but when restaurants are on a wait? I'm just trying to sort of think through if the pay-at-the-table does help speed table turns a little bit. What sort of percentage of the business could that benefit really be applicable to?
David M. Gordon - President: We can get you more specifics on that. I could tell you from historical analysis, Karen, that clearly what we call the big four shifts when you are thinking about kind of late Friday through the Sunday brunch, we have a significant amount of wait in many of our restaurants ranging from 30 minutes to 90 minutes or more in some of those really busy locations. And I think we're not that different than the industry if you were to take those shifts and look at a percentage of the total sales. You know it's going to be more than, slightly more than 50% of the week compared with the other sort of 4.5 days. So, I think that that's probably still true today.
Karen Holthouse - Goldman Sachs & Co.: All right. Thank you.
Operator: And our next question comes from the line of Keith Siegner from UBS Securities. Your line is now open.
Keith R. Siegner - UBS Securities LLC: Thanks. I appreciate the question as well. Given that you are going to test this pilot here coming up soon. Can you hear me?
David M. Gordon - President: Yes, we can.
Keith R. Siegner - UBS Securities LLC: Given that you're going to be testing this pilot for home office delivery or home and office delivery here soon, just wanted to get your philosophy a little bit on this program. We have seen some interesting approaches from some other major national chains in full service getting a tremendous amount of growth and, therefore, leverage out of that channel. How do you think about, say, for example, pricing? Is it a full-priced occasion? Do you run some discounts, given that they are not leveraging the service and taking up seats? How are you thinking about approaching To-Go as a long-term opportunity as compared to the eat-in occasion? Thanks.
David M. Gordon - President: Well, hopefully, Keith, you know that To-Go has been a big part of our business for a long time. We do 8% to 10% To-Go sales and have for probably as long we've been around. So, our approach with To-Go has always been to provide the same experience for the guests as they are going to get within the restaurant. From a pricing strategy, that would be the same. We would like the guests to have the same pricing structure. We don't anticipate discounting or having the pricing structure be any different. One of the reasons that we are piloting with a few different partners is to understand how their pricing structure may affect that guest experience, whether that's a delivery fee or a service fee or no fee at all, depending on how we structure the actual partnership. So, we are in week two in a very limited amount of restaurants so far and we really have a lot of learning to go. We really most importantly want to understand what that product is like by the time it gets in the door. And is it the quality that we would expect so that paying that same price point the value perspective is still there for the guest, and also that the companies are able to meet our expectation when it comes to service. So, thus far in the first two weeks, it's been promising, we've had some very busy days. And we also want to make sure that our performance within the restaurants stays consistent and even as volumes do improve and people – delivery were to really pick up, that we execute as well as we would like within the four walls in the restaurant with those guests as well.
Keith R. Siegner - UBS Securities LLC: And just to be clear, as a follow-up, you do have kitchen capacity as it stands right now, even at some of the peak dinner hours, to handle more volumes through the back of the house if this really takes off. Correct?
David M. Gordon - President: We do. Our restaurants are designed to be able to handle that volume, plus the To-Go, plus if there is incremental business to be had, we can handle that volume.
Keith R. Siegner - UBS Securities LLC: Thank you.
Operator: And our next question comes from the line of Sharon Zackfia from William Blair. Your line is now open.
Sharon M. Zackfia - William Blair & Co. LLC: Hi good afternoon. Doug, I wanted to ask maybe about labor optimization on an ongoing basis, given that wage pressure seems like it's going to be with us for a while. I don't know if your model really is suited for kind of outsourcing some of the prep work or anything like that, or if that would be meaningful, or if there are other things you could do in the four walls that might help offset that kind of labor inflation that you're seeing?
David M. Gordon - President: Sharon, I'll take that. I think that our operating model is complex, as you know, and having fresh ingredients every day with 250 menu items, if there was somebody out there that could do it as well as we would expect, we would explore that. We've always said that if you can make the same product of the same quality and do it for any less, of course, we would want to try and figure out a way to do that. We haven't been able to find somebody that can do that yet. So, our job and our goal continually is to make sure that our restaurants are performing on a quartiling (39:57) basis as well as our top performers. So there are – as well as our productivity was in the first quarter, I think Doug mentioned that, our operators did a wonderful job with productivity and maximizing the labor force within each restaurant. Still an opportunity to continue to outperform and to make sure that the third and fourth-quartile performers are meeting the company average, and that we can continue to do that and perform as we did in the first quarter. That will help offset some of that 5% pressure that Doug is talking about, and that's the work that we do every day. Having a wide variety menu is a differentiator for us and it keeps competition at bay, and it also (40:37) the complexity that you are talking about. But we are continually looking for, whether it's technology and equipment that can improve service times or increase productivity, or reduce the amount of manual labor that's happening within the restaurant, that is ongoing all the time and our teams are looking at that on a continual basis.
Sharon M. Zackfia - William Blair & Co. LLC: Okay. And Doug, one follow-up. Do you have a good share count for the second quarter, given the share repurchases?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: I think, Sharon, we were just a hair over 50 million. Yes, and so I think that we would continue to think for the balance of the year we'd be trending that a little bit downwards and we said between 49 million and 50 million weighted average for the year.
Sharon M. Zackfia - William Blair & Co. LLC: Okay. But I thought you repurchased 1 million shares in the first quarter, and the share count went down, like, 440,000, so...?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: So, some of that is timing, right, so we're reporting the actual number of shares and this is the weighted average basis.
Sharon M. Zackfia - William Blair & Co. LLC: Right. I guess I'm just asking what the share count was as of quarter-end, as opposed to weighted average.
W. Douglas Benn - Chief Financial Officer & Executive Vice President: We will get that to you after the call.
Sharon M. Zackfia - William Blair & Co. LLC: Great. Okay, thank you.
Operator: And our next question comes from the line of John Ivankoe from JPMorgan. Your line is now open.
John William Ivankoe - JPMorgan Securities LLC: Hi, thank you. Doug, just a clarification regarding, you know, you guys having December 30 in the first-quarter 2016 versus not in the first quarter of 2015. Some companies handle that differently, like they will include it in their average weekly sales, but not in their same-store sales. Are you saying that that was included in your same-store sales, so it wasn't exactly a comparable days comp?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: No, it was comparable. It was just in a different year, our year end changed.
John William Ivankoe - JPMorgan Securities LLC: Okay. Yes, I've seen that handled multiple ways. Okay. Well, if that's how you have handled it, that's fine. I just wanted to clarify. And then, on a separate topic, I mean we have talked before about your tickets at Cheesecake Factory above your check average being positive and below your check average being negative. So is that still the case? And if that is the case, are you working on doing anything to bring the number of tickets below your check average up?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Well, we have done a lot of menu innovation, John, as you know. We change our menu twice a year and we have – for instance, we have put on – if you look at our new Super Foods section there is a lot of salads there under $10, our small plates are low priced as well. So we put items on – lower-cost items for people that want to come in at that price point and still get full service.
John William Ivankoe - JPMorgan Securities LLC: And in terms of anything that might change more in the future regarding that, or should we not...
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Yeah, I think that you're going to see the Super Foods section grow and then I think over time that we'll try to put things on the menu that will attract all levels of – all income levels and all spending levels. So we have the opportunity to be all things to all people and that's why we've been successful over the years. So, we would continue to move in that direction.
John William Ivankoe - JPMorgan Securities LLC: Thank you.
Operator: And our next question comes from the line of Paul Westra from Stifel. Your line is now open.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Great, thank you. Just a couple of follow-ups. Most have been answered already. But I guess from a different perspective, Doug, on your guidance – for the full year, comp guidance comes down 50 basis points. But the EPS number comes up $0.03 to $0.04. So how would you characterize where that upside versus your outlook is coming from on the earnings?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Well, the earnings was largely a flow through of the amount that we beat the first quarter by, which I think was $0.08 that we flowed through roughly at the midpoint about $0.04 as you say of that $0.08, and we didn't flow through at all because we have some of those expenses that benefited the first quarter, where G&A that were timing related and were expected to have those expenses, incurred those expenses later in the year anyway. So, that's why – that's basically the difference.
Paul Westra - Stifel, Nicolaus & Co., Inc.: And then back to that comment on insurance; you said there was up to a $0.04 benefit here in the first quarter. But you are not changing your I guess outlook? Is that – so that's correct that even – or?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Insurance was maybe about $0.02 worth of benefit in the first quarter. So, we would expect that the – and we expected to have that – well, we didn't expect to have that versus our guidance. But we wouldn't expect for continuing benefits from insurance. So we took about half of the difference between the midpoint of the guidance we gave and what we actually reported and increased our end of the year guidance by that amount and the other half is timing related.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Okay and then on the second half comp outlook looking to return back to that 2% number from below 1% here in the 2Q I guess what gives you the confidence either from a Cake-specific actions on menu or take out initiatives and things or is it just expecting to be more improving comparisons or improving macro?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: I would say that the first answer is, we really don't know what comp store sales are going to be for the second half of the year, but the way that we got at 1.5% to 2.5% was we took into account that there was this choppiness in the environment that we're in and we lowered the two-year stacked comp for the second half of the year, so we have much easier comparisons in the second half. The first half comp last year were up 3.5%, in the second half we were only up 1.6% last year. So we have 4.6% of two-year stacked comps in the first quarter and the way the guidance we gave represents or indicates about 3.6% two-year stacked comps in the second half. So, that's what we did. Will that turn out to be true, time will tell, obviously, but that's the thought process we went through.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Great. And then, lastly, one more on the competitive environment, a lot of other casual diners talking about lunch being the most impacted and specifically from some of the QSR efforts; I know you are typically above the fray, anyway, and especially relating to QSR impacts. Any commentary on lunch being maybe softer or weaker or maybe in some – even just some locations?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: I'm looking at that now and I, you know, for instance just this is overall sales. Our lunch sales overall compared to last year and this is not just comp sales, this is all sales, were up more than diner sales were up.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Finally answered the question?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Yeah.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Great. Okay, thanks so much.
Operator: And we do have time for two more questions. Our next question comes from the line of Steve Anderson from Maxim Group. Your line is now open.
Stephen Anderson - Maxim Group LLC: Yes good afternoon. A quick question on the real estate strategy. I don't know if you were starting to look at the 2017 pipeline, but given that we're only looking at 8 units for this year, is it safe to say at this point we could see a little bit of an acceleration in terms of the real estate strategy for next year? Clearly you might get some favorable mall site or some new development coming up?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Well, Steve, we're going to open up as many restaurants next year as we think that there is a high likelihood that we can meet our return hurdles. And that's what we do every year, I mean our people have a little bit of difficulty, right, fully understanding why one year we have 10 and the next year we have eight or whatever. But next year we could have eight again or we could have more than eight. Just depends how many restaurants that we locate where we think we can have lines out the door when we open like we did in Albuquerque.
Stephen Anderson - Maxim Group LLC: And are there any opportunities for relocation like there were in past years, do you think?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Well, we did some in 2013 and 2014 that I think you're referring to and really none in 2015 and I don't think we anticipate doing any relocations next year.
Stephen Anderson - Maxim Group LLC: All right, thank you.
Operator: And our next question comes from the line of Brian Vaccaro from Raymond James. Your line is now open.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Thanks and good afternoon. David, you mentioned in your prepared remarks the brand's strong positioning with millennials. And I'm just curious if you could share what percentage of your guests are comprised of millennials and how has that percentage trended over the last few years?
David M. Gordon - President: I don't know that I have a specific data in front of me. I can tell you that certainly for the past 10 years the breadth of guests from 15 to 85 that dine in The Cheesecake Factory is vast and that's why our sales volumes are what they are. The Technomic survey that I'm referring to just came out may be two or three months ago and part of what Doug talked earlier about putting the Super Foods on the menu, some of the other work that we've done, a lot of the great social media marketing that we've done, whether that's through influencers or Instagram page and all of that tells us that there certainly is relevance with our brand with millennials and Technomic sort of prove that out in that one survey. I don't have the exact number in front of me right now and what percentage of our guests may be millennials, but we feel pretty good that we are resonating with them and giving them what it is that they want and what they need.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Okay. All right. And then just a couple of quick ones; can you tell us what the Grand Lux comps were in the quarter?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: Yes, I can. They were 3.1% positive.
Brian M. Vaccaro - Raymond James & Associates, Inc.: 3.1% positive? Okay. And then on the G&A front, you held it flat as a percent of sales, obviously, this quarter. Is the goal for 2016 to still see slight leverage there?
W. Douglas Benn - Chief Financial Officer & Executive Vice President: I would say sort of flat for the year is what we would expect.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Flattish, given the renewed sales outlook? Okay. And then last one, I did notice that the depreciation expense, it declined about $0.5 million sequentially. Can you provide some color on what drove that? And do you expect sort of more normal growth as we move through the rest of 2016?
David M. Gordon - President: Yes, Brian, we do kind of expect it to be normal over the course. And we'd be happy to talk with you offline about just accounting around that, nothing material, just a couple of pieces that were smaller.
Brian M. Vaccaro - Raymond James & Associates, Inc.: All right, fair enough. Thank you.
Operator: And that does end our Q&A session for today. Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a wonderful day.